Operator: Good morning, everyone. And welcome to the Marcus Corporation Fourth Quarter Earnings Conference Call. My name is Zineda and I'll be your operator for today. At this time, all participants are in a listen-only mode. We will conduct a question-and-answer session towards the end of this conference. (Operator Instructions). As a reminder, this conference is being recorded. Joining us today are Greg Marcus, President and Chief Executive Officer and Doug Neis, Chief Financial Officer of the Marcus Corporation. At this time, I would like to turn the program over to Mr. Neis for his opening remarks. Please go ahead, sir.
Douglas A. Neis: Thanks very much. And welcome everybody to our fiscal 2009 fourth quarter and year-end conference call. As usual, I need to begin by stating that we plan on making a number of forward-looking statements on our call today. Our forward-looking statements could include, but not limited to statements about our future revenues and earnings expectations, our future RevPAR, occupancy rates and room rate expectations for our Hotels and Resorts division, expectations about the quality, quantity and audience appeal of film products expected to be made available to us in the future, our expectations about the future trends in the business group and leisure travel industry and in our markets, our expectations and plans regarding growth in the number and type of our properties and facilities, our expectations regarding various non-operating line items on our earnings statement, and our expectations regarding future capital expenditures. Of course, our actual results could differ materially from those projected or suggested by our forward-looking statements. Factors, risks and uncertainties, which could impact our ability to achieve our expectations, are included in the Risk Factors section of our 10-K and 10-Q filings, which can be obtained from the SEC or the company. We'll also post all our Regulation G disclosures when applicable, on our website at www.marcuscorp.com. So with that behind us, let's talk about our fiscal 2009 fourth quarter and year-end results. As is obvious, when you look at our numbers, we continue to benefit from having two distinct businesses. The lodging environment continues to be very challenging, negatively impacting our results compared to last year. But thanks to another good quarter for the theater division in fact we are reporting record revenues in operating income from this business during fiscal 2009. The impact has been lessened so much so much so that we're pleased to be reporting year-end results above the estimates that are out there for us today. But before I get into the operating results let me first briefly address my variation in the line items below operating income versus last year, because a significant portion of our year end decrease in net earnings could be traced to these line items and several one time charges. Our investment income was up slightly during our fourth quarter but for fiscal 2009 I want to remind you that we reported investment losses totaling approximately $2 million pretax earlier in the year related to the declines and values of securities held by the company and declines in values of investment in and loans through a former Baymont joint venture that currently owns a piece of raw land. As we indicated previously, we believe our exposure to additional losses of this type is not significant. In addition, although we reported a small gain in disposition of property equipments and other assets during our fourth quarter, I once again remind you that for the full fiscal 2009 annual results, we do have a significant variation in this line related to a second quarter $1.1 million pretax adjustments of the prior gains in the sales of condominium units at our Platinum Hotel & Spa in Las Vegas. As we described in earlier calls, due to the current stressed real estate market in Las Vegas we felt it was prudent to lower our estimate of expected proceeds that we will ultimately receive when we sell the remaining 16 units that we're still carrying on our balance sheet. Lowering our expected proceeds resulted in the adjustment of previous gains that we had reported under the percentage of completion method. And as we noted in the release, these aforementioned items which negatively impacted our year-to-date pretax earnings by approximately $3.1 million represented approximately $0.06 a share accounting for the majority of our fiscal 2009 decrease in net earnings per share compared to the prior year. Now looking ahead to next year, we certainly would expect both of these line items to return to more normal levels. The timing of our periodic sales and property equipment and other assets can of course vary from quarter-to-quarter and year-to-year and as in the past, we do have potential to report gains during fiscal 2010. But this is always a very difficult number to forecast. Meanwhile our interest expense was down nicely during the fourth quarter and fiscal 2009 due to reduced borrowings and lower short-term interest rates. We were able to fund our fiscal 2009 capital expenditures out of operating cash flow, eliminating the need for additional incremental debt during the year. Baring an event that would require significantly more borrowings during fiscal 2010 and currently planned such as an acquisition or significant share repurchase, we currently believe our interest expense may decrease again in fiscal 2010, possibly by as much as $1 million assuming short-term interest rates remain at or near the current lower levels for the majority of the year. Our overall debt-to-capitalization ratio at the end of the quarter was a very strong 44% down from 47% at our last May year-end. With limited scene in debt maturities over the next three years, strong covenant ratios and nearly $113 million in available credit lines as of today, we also remain in an enviable liquid position as well. Our equity losses from unconsolidated joint ventures were slightly lower than last year this quarter. But up slightly for the full year as these joint ventures are related to Hotels that as you would expect are not performing as well during this current environment. And finally our effective income tax rate for fiscal 2009 ended up at a slightly lower 37.1% with a quarterly rate lower still due to an adjustment to our full year rate. This was thanks primarily to a decrease in our liabilities for unrecognized tax benefits as a result of lapse of the applicable statute of limitations during fiscal 2009. Shifting gears, the total capital expenditures during fiscal 2009 totaled approximately $37 million compared to just over 24 million last year if you exclude last year’s Douglas Theaters acquisition. Nearly $22 million of this year's amount occurred in our Theater division and relates primarily to land purchases, construction costs on our latest UltraScreen in Orland Park, Illinois, and Mequon, Wisconsin and the purchase of 3D digital projectors, a food and beverage project at a theater in Minnesota and the renovation recently completed at our North Shore Cinema in Mequon that included building of Zaffiro's pizza restaurant and bar. Our Hotel and Resort division spent approximately $15 million during fiscal 2009 with two significant projects at our Hilton Milwaukee and Grand Geneva Resort properties accounting for the largest portion of their spend. As we look towards capital expenditures for fiscal 2010, we're currently estimating that we may end up in the 50 to $70 million range with approximately 20 to 35 million estimated for our Theater division and up to 30 to 45 million estimated for our Hotels and Resorts division. Now with only about $30 million currently committed in carryover projects and normal annual maintenance capital, a substantial portion of this capital budget is either yet to be approved by our investment committee or is for unidentified projects. So our actual fiscal 2010 capital expenditures certainly could vary from this preliminary estimate, just as they did this past year. In addition both divisions have acquisition strategies that could impact our actual capital expenditures if the right opportunity rose during the year. Now before I turn the call over to Greg, let me provide a few additional financial comments on our operations for the fourth quarter and fiscal year beginning with Theaters. Our press release highlighted our healthy increases in revenues and operating income during the quarter and year but let me break that down a little further for you. Box-office revenues were up 13.2% during the fourth quarter with our fiscal year box-office ending up 19.7% ahead compared to last year. Now concession revenues were up 9.8% for the quarter and 19.4% for the year. Of course, we acquired the seven Nebraska Theaters at the beginning of April last year. So, our fourth quarter numbers were partially impacted by these new theaters and our fiscal year numbers were more significantly impacted by the results of the Douglas Theaters. So if you exclude the Seven Douglas Theaters, our box office and concession revenues were actually still up approximately 8.3% and 4.2% respectively during the quarter. For fiscal 2009, again excluding those same new theaters, our box office revenues were up 5.5% and our concession revenues were up approximately 4.3%. Total attendance increased 5.1% for the fourth quarter and 14.4% for the year but again that includes the Douglas Theaters. Excluding the acquired theaters our same store attendance was actually even for the quarter and was up 0.1% for the full fiscal year. Box office revenues for these comparable theaters were favorably impacted by an increase in our average admission price for these periods of 8.3% for the quarter and 5.4% for the year. Similarly concession revenues per person and for the same theaters increased 4.2% for the quarter and 4.2% for all of fiscal 2009. Premium pricing for our digital 3D attractions and ultrascreens contributed to our high average admission prices during fiscal 2009. So with the strong box-office performance, our operating margins from this division during the quarter increased from 15.5% to 16.9%. And for the full fiscal year our margins increased to 20.3% compared to 19.5% last year. Now, shifting to our Hotels and Resorts divisions, our overall hotel revenues were down 22.4% during the quarter and 11.4 % for the fiscal year. As we noted in our release, total RevPAR was down 23% during the quarter, compared to the same period last year and declined by 10.1% for the full fiscal year, with the food and beverage revenue declines accounting for most of the remaining decline in our total fiscal 2009 revenues. As we noted in the past, our RevPAR performance did vary by market and type of property. But seven of our eight company owned properties were down this quarter and fiscal year. In general, owned and managed properties in major destination markets over the greater reliance and group business have seen the largest declines in RevPAR during this recession. According to data received from Smith Travel Research and compiled by us in order to match our fiscal year, comparable up or upscale hotels throughout United States experienced a slightly higher decrease in RevPAR of 12.3% during our fiscal 2009. And that's likely the difference between our 10.1 and 12.3 is likely due to some of the different markets that we operate in. Our fiscal 2009 fourth quarter overall RevPAR decrease was the result of an overall occupancy rate decrease of 10.1 percentage points with our average daily rate decreasing by 9.4% during the period. For fiscal 2009, our overall occupancy rate declined by 5.7 percentage points and our ADR declined by 1.9%. Comparisons to last year’s revenues and operating income were negatively impacted by the fact that during fiscal 2008 we received a $900,000 development fee related to a hotel project for another owner to whom we provided assistance. In addition, fiscal 2009 operating results were negatively impacted by reduced management fees and a charged earnings for potential losses and funds advanced to owners of managed properties that have experienced significant financial hardship, as a result of the reduced travel. With that I'll now turn the call over to Greg.
Gregory S. Marcus: Thanks Doug and good morning everybody. Let me start with our Theater division. As you've heard and seen, we've had another very good quarter in this division and I am very pleased that we were able to report better operating results during fiscal 2009. While I bear the risk of repeating myself, it's the business the theme movie theater business has continued its history of being resistant to economic downturn. It's hard to argue with the fact that going to the movies remains an inexpensive form of out of home entertainment. They consistently provide an escape from the challenges of daily life. I think that when you add that environment to the new collection of sound films such as those mentioned in our release, you end up with the results we reported this morning from this division. As Doug shared some of the additional numbers with you, you probably noted that during the past quarter the increases is in our comparable fee of box-office revenues came up from a fairly sizeable increase in our average admission price. As Doug noted, comparable attendance was actually even with last year. But our average ticket price increased to over 8% during the quarter and over 5% for the year. Clearly, we benefited from a couple of our key strategies that we shared with you in the past including an expansion of our Digital 3D presence and a continued expansion of our UltraScreen concept. As the press release notes, Monsters vs. Aliens was our number one picture during the fourth quarter. So, the impact of 3D premium pricing on our average ticket price was even more pronounced. We also opened up another UltraScreen during our fourth quarter. We charge a premium for UltraScreen attraction and an additional premium for reserved seating. Nearly one half of our seats at our new UltraScreen that are renovated North Shore Cinema in Mequon, Wisconsin are reserved. That speaking about North Shore Cinema, I would certainly encourage those of you that live in the area to visit this newly renovated theater. It's very exciting. I think our management team did a great job incorporating many of our new strategies in transforming this theater into a true entertainment destination. Our press release notes some of the highlights of the renovation including our first full service Zaffiro's Pizzeria restaurant and bar. This restaurant has a separate outside entrance as well as an entrance off the lobby and take your dinner and a movie to a new level of convenience for our guest. We even offer our dinning and concession guest the opportunity to reserve seats at virtually any movie in the theater so they are not pressed for time between eating and getting a good seat at the show. This is really a revolutionary idea and is typical of the innovation that we pride ourselves in. We're so pleased with initial response of this restaurant. Looking ahead, our capital budget for distribution includes plans for up to three more ultrascreens in existing location as well as to plan to selectively add additional food and beverage outlets in our theaters. We'll also continue to review opportunities for building additional new locations including recently announced plans to replace our existing Eastgate Theater in Madison, Wisconsin with a new state of the art theater an entertainment complex nearby. This new complex that’s currently contemplated would include 16 movie screens and many other exciting amenities. We currently own land in several different communities that may be used for new theaters at future dates and we've help design and will manage a unique upscale theater and entertainment complex in Omaha, Nebraska scheduled to open in November 2009. We're always looking to acquire potential theaters sites to facilitate our long-term growth and we will also continue toconsider additional potential acquisitions as opportunities arise. We'll remind that we purchased the Seven Nebraska theaters on April 3 last year, so we'll once again have a more comparable number of screens that we'll be reporting on during fiscal 2010. The one thing still remains in the holding pattern is a broader role out of the usual cinema beyond the three locations our press release refers to. As I think most of you know, the turmoil in the credit markets has been delaying the broader role out. Having said that just like our larger competitors in the industry, we've been testing systems and preparing for the day that the larger rollout will begin. And while I think there is still some level of uncertainty surrounding the actual time table for us and the industry as a whole. I think most people believe that the coming year will likely bring more activity on this front. From a film perspective, our release does a good job of describing our summer so far. We were pleased to have so many strong weeks at the beginning of the summer, because we knew no matter how strong Harry Potter performed and it has performed very well. Hollywood would not be able to duplicate the unique success of the Dark Knight, last July. Having said that, August was not a particularly strong month last year. So if Potter has decent legs and the remaining summer films, several of which were noted in our release performed well. We believe we have a reasonable chance of matching or even slightly exceeding last year's first quarter performance from this division. So, to wrap up my comments on this division, I think that it is pretty clear that this remains an exciting time for the theater industry. Since we can't control our principal product and movies themselves, we recognize that not every quarterly report will produce record results. But regardless of what Hollywood does, we will continue to maintain our focus on running some of the best and most profitable theaters in the country in both good times as well as bad. Transitioning to our second division, Hotels and Resorts, we obviously have a different story to tell here. As evidenced by our reported fourth quarter RevPAR declines, conditions continued to worsen at the spring and our fourth quarter results clearly reflect that. Just as some of the statistics that Doug shared with you related to our average ticket price for our theater division helped to explain our fourth quarter results for that division, a similar statistics in that hotel division that Doug shared also helps to explain the further deterioration in the hotel business. In this case I am afraid of the 9% decline in our overall ADR during our fourth quarter. Looking back the previous three quarters this year our ADR actually was up over last year during the first two quarters and was only down 2% during our fiscal third quarter. The fact that our ADR dropped as much as it did during the most recent quarter is actually not surprising as it follows the typical pattern in down cycles in the hotel industry. As demand shrinks at some point hotels begin dropping their rates as they fight for the remaining business that is out there. In fact right now, the customer segment that is currently shown the most resiliency in the leisure segment and pricing plays a major role in driving this segment. In our case our focus has been on putting together value packages for our leisure guests. And we have had some success driving business particularly this summer as a result. Unlike the group customer segment, which has been the weakest segment from our perspective, the leisure customer seems determined to still take their vacation, albeit maybe for a short length or closer to home. So, not surprisingly as Doug noted, properties in portfolio with the largest RevPAR declines during fiscal 2009 were the ones most reliant on group business are located in major destination markets. Those of you that follow this industry have probably had their share of gloomy RevPAR news. So, I would like to spend a couple of minutes on some of the factors we can control during this challenging time. One, cost control becomes even more critical during the time like this and I think our management team has performed very admirably on this front. In general, our internal goal is to make sure that no more than 50% of any declines in revenue dropped to our gross operating profit level. Well we've been able to do even better than that, excluding the non-comparable items that Doug mentioned earlier our cost containment measures resulted in approximately 49% of our overall fiscal year revenue decline growing through to our operating income, about a flow through percentage that generally compares favorably with others in our industry. Another area of our business that we can control is our investment and reinvestment levels and in this regard our financial strength becomes a significant competitive advantage. As we described in some detail in our press release, we've continued to invest on our properties when others can't afford to. I'd like to highlight the fact that we’ve completed the Phase I of our Grand Geneva capital expenditure program and it looks great. We touched almost all areas of the resort from the spa, from the pool, to the corridors, to the guest rooms. In fact the guest bath rooms look wonderful. And as we mentioned in the press release, you just have to see the TVs embedded in the mirrors. Kids both young and old think it’s magic, check it out if you are in the area I think you will be impressed. Also with an increasing number of hotels across the country experiencing financial difficulties, due to reduced operating results and high debt service cost, we believe the opportunities to acquire high quality hotels, or management contracts as attractive valuations will likely increase in the future for well capitalized companies such as ours. In the meantime, the reality is that it is very difficult to have a lot of visibility into the future right now. Our June results looked a lot like our fourth quarter. But our July results to date while still down compared to last year have shown some relative improvement as we hit the peak of the traditionally busy summer travel season. Our group business booking pace continues to lag behind last year’s pace and our ongoing group businesses often resulting in less overall revenues that in the past as the group sizes shrink and on site ancillary spending decreases. Business confidence needs to improve before we are likely to see an improvement in this particular customer segment. As a result, we expect to report reduced operating income from this division during at least the first and likely second quarter quarters of fiscal 2010 compared to the prior year. But after that, I am hopeful that we'll start to see some of these declines to moderate as we head into the calendar 2010. And once we start overlapping these poor results beginning in fiscal 2010 third and fourth quarters, I would like to think that the macro economic conditions we are currently facing will also begin improving as well. I think right now most in our industry are hopeful that the next year will be a transition year that will ultimately lead us back to the next up cycle in this historically cyclical business. Before we turn the call over to your questions, I want to thank our shareholders and other interested parties for your continued interest in support of the Marcus Corporation. When potential investors ask us why they should invest in our company, we often cite the benefits of our business diversity, the significant underlying assets within the company, our defined growth strategies and our strong balance sheet. I think you can make a pretty good case for fiscal 2009 being the poster child for those four defining strengths. likely explaining why our stock has performed better over the last 5 years, in both the Russell 2000 and in industry peer group index described in our annual report. Our foundation remains solid and we remain committed to creating value for our shareholders, customers and associates over the long-term. With that, at this time we'd be happy to open the call up for any questions you may have.
Operator: Thank you. (Operator Instructions) We'll go first to David Loeb with Robert W. Baird. Please proceed.
David Loeb - Robert W. Baird: Good morning gentlemen. I appreciate the thoroughness of your prepared remarks and I have a couple of follow ups on that. Doug, you mentioned acquisition strategies in both divisions, I wonder if you or Greg could comment on the market conditions for acquisition? I'm guessing that with the theater business going well you're seeing somewhat fewer opportunities there, would you agree with that?
Douglas Neis: I would generally agree with that, yes. Obviously if you look back -- think about the theater business if you remember David, and look at the two acquisitions that we did the preceding two years, those were not driven by distressed and or things going really well. They were driven by situations and ownership of those particular chains, little circuits where they were looking to exit next generation might not be as interested in maintaining wherever might be. So the business that you know, when the opportunities come you can't just necessarily point to the macro economic conditions and say that’s what's going to drive it. So it's fairly unpredictable, but in general I would agree with this statement.
David Loeb - Robert W. Baird: I guess, I was thinking that if you're in that older generation and you are hanging on, it's a good time to hang on. I suppose it’s also a good time to sell if that the values are better?
Douglas Neis: You know David, I guess what I would say is, you know, that we continue to look at opportunities in the marketplace. We are not in the theater business a trailing 12 month purchaser at any instance. This is historically a business that has fluctuations as you follow us you know and when we evaluate opportunities, we will not buy until 12 months frankly, in any instance. So we look at how the business has performed overtime and how we expect it to perform overtime and we take a long-term outlook and if the opportunity presents itself and makes sense and the capital is available we will take advantage of it.
David Loeb - Robert W. Baird: Okay. That certainly makes sense. How about in the hotel side? There is a lot more distress there that must be creating a lot of opportunities, what do you think are the prospects for you in that environment?
Gregory Marcus: Well we sure would like to take advantage of some of those opportunities David. I think that right now our general sense if I had to characterize as patience is a virtue here right now. There certainly are an increasing number of opportunities starting to present themselves. But I think the general consensus is that there probably will be more and so we're watching that very closely and certainly as we've indicated in the past if we like to be able to pick up some additional properties now they could be in a variety of different forms, management contracts, equity investments, but certainly there is going to be some stress now is could some more distress in the future. So we will be watching that very closely.
David Loeb - Robert W. Baird: Want to just follow up on that and ask about distress at management contracts and particularly we saw reports that Whitehall launched the former resort suites which you had managed for them. Did that end your management contract there and do you see net opportunities as opposed to net launches threatening as your owners are under some financial stress?
Gregory Marcus: We are still managing the property for Whitehall. That sure what the report that you saw said.
David Loeb - Robert W. Baird: I think it was a default that that may not have been a foreclosure yet, but I thought we actually saw it report. In fact they know we saw our report that said that hotel under its new name formally the resort suites [inaudible] have defaulted.
Gregory Marcus: I think that's correct. I think I saw the same report but at this point they still continue to control the resort and we are running it for them.
David Loeb - Robert W. Baird: Okay. So your prospects for management contracts in distress are probably greater as opposed to more risky given the state of the owners. That's fair.
Gregory Marcus: I think all I would add to that will be the same. With the turmoil, there should be opportunities at management contracts. I think it will be our focus to look for management contracts we think we have a long term focus. We're not looking to just come in and manage while somebody's in receivership to be turned over to the next company.
David Loeb - Robert W. Baird: That make sense, great that's good answer now thanks.
Operator: (Operator Instructions) Your next question comes from the line of Andrew Whiteman with Robert W. Baird. Please proceed.
Andrew Whiteman - Robert W. Baird: Hi guys, Greg I just wanted to drill in a little bit more on your outlook for the hotels, you mentioned that you are optimistic for third quarter, fourth quarter '10, that things might turn around a little bit? Can you just talk a little bit about what gives you some confidence to maybe believe that or sense that, maybe in terms of looking at your group bookings or other things that you might have to look at?
Gregory Marcus: It’s more just as -- it is more just a feeling about what's going on with economy in general and that with all the stimulus that's being applied and that these things are cyclical that eventually we are going to come to that and I can't point to any specific data point that says calendar 2010 is going to get to be a lot better. I know that if the data point that were going to last 2009 is absolutely going to happen, but there's a lot of stimulus being applied to our economy and we should start to see some of that, but that's what I'm facing I think...
Andrew Whiteman - Robert W. Baird: Is part of that maybe your comps too, I mean is that a factor here?
Gregory Marcus: Certainly and you'll notice and we choose our words very carefully as you know Andy I mean we're not suggesting, we're not projecting that we think RevPAR is going to be up or anything like that, where I think no one really knows the -- all the so called industry experts aren’t suggesting that right now. Most of the industry experts are suggesting that RevPAR will still be down in 2010, but on a much smaller scale, but again if anyone I don't think anyone really knows, certainly the comps will be better and everyone is using terms you have listened and you have listened to another call today as everyone is using terms like left out and things like that, and that's generally what's happening right now is that things have somewhat stabilized here in the summer as we mentioned our July is certainly less bad but it’s still down so, that gives us some confidence that we have seen the worst, we hope that’s the case.
Douglas Neis: Hopeful, but looking at the words and our script today I m hopeful it will get better and I am hopeful.
Andrew Whiteman - Robert W. Baird: Okay. That makes senses. I guess just wanted to go one other direction here and just talk a little bit about Las Vegas, clearly that has been a very challenging market, lot of new supply demands -- I want to understand if you could give us any color on what your options for I guess, managing and owning the common space is of The Platinum at this point. What do you think your potential outcome could be there?
Gregory Marcus: That's a tough one Andy, I mean right now as you said, the market is in tough shape we've already addressed previously from the ownership of the units perspective, began there we are just going to show some patience. We are not just stress sellers, we don't feel any need to force the market on the 16 that we have and so we have already addressed that. As it relates to management itself, certainly it’s not a profitable venture for us right now and so we continue to look at operationally things that we can do and then of course we continue to look at other options if there are options out there that could make that a better possible proposition for us but
Andrew Whiteman - Robert W. Baird: Anything that you think could be interested in teaming up with you there? Other capital sources that might want to take you out?
Gregory Marcus: Yeah, I know. I wouldn't want to go there Andy I mean we keep on looking, we’ll look at options and if options do present themselves, we will absolutely take a look at them, but right now, we're writing this thing out, and as everyone else and if something does come along that provides us something we want to consider, we’d look at it but, here we are today and we're still as best we can.
Andrew Whiteman - Robert W. Baird: Okay. On the other side of that coin, you mentioned that one hotel was up for fiscal '09, just out of curiosity, can I ask you what that was?
Gregory Marcus: For fiscal '09, we have mentioned it previously that our Okalahoma city property had a -- overall for the year they were actually up slightly. We don't normally name the property so I am not going to name it for one of those, but actually it was not the property that was up in our fourth quarter, but another property that has had a good and better quarter and comparably, but overall Oklahoma city has held up the best of our properties.
Andrew Whiteman - Robert W. Baird: And as part of that the function of not only being a lower bid market but also the fact that there is some ramp in that hotel since its openings still.
Gregory Marcus: Well certainly, that property ramped up very, very quickly. It is a new property, it is one of the best properties, if not the best property in town, that market in general if you just look at some market dynamics as well, certainly has performed better than others.
Andrew Whiteman - Robert W. Baird: Is there still some ramp in that you think, into a tough 2010 may be?
Gregory Marcus: I'm sorry, what did you say?
Andrew Whiteman - Robert W. Baird: Just wondering if you thought there is some more ramp in the Oklahoma city asset that just could continue to have that one outperform.
Gregory Marcus: You know how oil is going to do, that's a strive in that market. So what’s my question as Doug pointed out, it’s not a question of ramp, that property ramped up pretty well, this not when it’s ramping up, its really been driven by the market down there.
Andrew Whiteman - Robert W. Baird: Interesting, Okay thanks I think that's all for me.
Operator: We have a follow up question in the line of David Loeb with Robert W. Baird. Please proceed.
David Loeb - Robert W. Baird: We are doing the tag team approach. I just wanted to come back to the theaters, I am very impressed with the average ticket pricing gains particularly in the fourth quarter and I am just curious about given the CapEx budget that you laid out, if there are, aside from continuing to roll out the visual 3D, are there other ultrascreen construction projects or retrofit projects in existing theaters or additions of theaters that you see where you can continue that trend towards premium offerings at your locations.
Douglas Neis: We may have mentioned, there are three locations in that budget for new UltraScreen. None of them have officially come to the investment committee yet. But yes, there are dollars potentially set aside for three more ultrascreens, which certainly are driver on that. Greg touched on the reserve seating which then can be an added premium. And we’ve got a interesting experiment going on with that at the North Shore Cinema that expands on that far then we’ve ever gone in the past as well. So, time will tell when that translates into additional, because we do have some additional food and beverage concepts and some things that we hope to continue selectively in fiscal 2010 as well. So, well, yeah, but clearly the 3D and the ultra screen pricing, the reserve seating pricing. Those were the three main drivers.
David Loeb - Robert W. Baird: And are you having reserved seating only in ultra screens or in traditional screens as well?
Gregory Marcus: Well, the experiment at North Shore and let me be clear about how that works is because it’s different than 3D, 3D which gets a premium price. That is a pure premium added to the ticket. What we are doing in the ultra screen and we do in the North Shore, and most of the other screens where we offer a select portion of reserve seating is that we essentially make the reserve seating complementary, but to get a reserved seat you have to pay an additional $3. But that $3 is a food and beverage voucher. So, if you are eating in our restaurant, for example at Zaffiro’s, you are probably spending more than $3 a ticket, in that instance you have paid nothing more for a reserved seat but you get it because you can use your voucher. If you buy concessions at our concession stand, you can use your vouchers for your concession and get a reserved seat which means great, you don't have to wait in line, you shop at the last minute, you get a very good seat and you picked your seat obviously, but at no additional cost. The only time there is really additional cost is that you don't eat or drink anything at the theater, but you want a reserve seat and that would be the only time when you see a additional cost in addition to -- as a consumer. But otherwise, it's a service to be provided for our customers that participate in our food and beverage programs.
David Loeb - Robert W. Baird: That is very clever Greg, I have to say. And that's if that succeeds at North Shore, you are going to roll that out more broadly?
Gregory Marcus: We would like to make it, yeah. We would like to have to be successful and rolling out yes.
Douglas Neis: I mean there are operational challenges that were, that's why we are doing in one location, we got to work our way through, but and that obviously not every place has a separate Zaffiro’s restaurant but they all have professional stands. So there are ways to do this.
Gregory Marcus: I mean that was what Douglas thought, that was the genesis of the idea which is Zaffiro --which said okay, aside from having absolutely incredible pizza which it has, how do we differentiate ourselves and how we can take advantage of our restaurant to make it a choice or any other restaurant in North Shore. And one of the things was, we can give somebody who eats with us a reserved seats. And so it works to the benefit of the restaurant and it’s good for the theater as well
David Loeb - Robert W. Baird: That’s great. And one final follow up on that, what would the timing be assuming the three UltraScreens get through the committee process and you decide to move ahead with them. How long would that take to construct or retrofit?
Gregory Marcus: Well realistically they wouldn't have a lot of impact on fiscal 2010, because with our mid western locations and none of them are in the ground today, so the big push is typically to get screens opened either in time for the holiday season on in time for the May kick off of new pictures. And so, realistically you are probably looking at more likely that these screens would come out in the second half of the year than in the first half.
David Loeb - Robert W. Baird: Okay. So they are likely to be opened assuming you go ahead with them -- to be opened near the end of the next fiscal year, but in time for next summer.
Gregory Marcus: That would be the most likely scenario. If they are prepared and we fast track one of these and get in the ground quickly, I suppose it’s possible something is going to happen sooner there, but I don't know the answer to that yet.
David Loeb - Robert W. Baird: That's great. Thanks very much.
Operator: Thank you. At this time it appears there are no other questions. I'd like to turn the call back to Mr. Neis for any additional or closing remarks.
Douglas Neis: We certainly like to thank you once again for joining us today. We look forward to talking to you again actually very shortly in September when we release our fiscal 2010 first quarter results. Till then have a great day. Thanks again.
Operator: That concludes today's call. You may disconnect your line at any time. Have a good day.